Operator: Hello and thank you for standing by. My name is Jason and I will be your conference operator today.  As a reminder, this conference call is being recorded. At this time, I will turn the call over to Makela Taphorn, Director, Investor Relations for Artisan Partners Asset Management. Please go ahead.
Makela Taphorn: Thank you. Welcome to the Artisan Partners Asset Management business update and earnings call. Today’s call will include remarks from Eric Colson, CEO and C.J. Daley, CFO. Our latest results and investor presentation are available on the Investor Relations section of our website. Following these remarks, we will open the line for questions. Before we begin, I would like to remind you that comments made on today’s call, including responses to questions, may deal with forward-looking statements. These are subject to risks and uncertainties that are presented in the earnings release and details in our filings with the SEC. We are not required to update or revise any of these statements following the call. In addition, some of our remarks made today will include references to non-GAAP financial measures. You can find reconciliations of those measures to the most comparable GAAP measures in the earnings release. And with that, I will now turn the call over to Eric Colson.
Eric Colson: Thank you, Makela and thank you everyone for joining the call or reading the transcript. Thoughtful growth is one of our three foundational pillars. Beginning 25 years ago, during our startup phase, we benefited from talent-free agency, open architecture, distribution, rising public equity allocations and investment style categorization. Over time, we naturally evolved into a global organization with non-U.S. clients and investment strategies oriented towards a broader client base. During both our startup and global growth periods, we benefited from a naturally growing client base and asset allocation trends working in our favor. As our industry naturally ebbs and flows, we have stayed true to who we are, focusing on the business of investments, people and trust. We have opted not to compete on scale and fees, but on investments and performance. We have taken the opportunity to expand guidelines with more investment degrees of freedom so that our high value-added active strategies better complement growing allocations to passive and exposure strategies, which have greater scale and lower fees. And we have broadened our firm with credit and alternative-oriented strategies. By increasing our investment degrees of freedom and broadening our platform, we have further enhanced our firm as a natural home for truly active high value-added investors. Today, we believe exposure and scaled solutions are starting to reach many asset pool targets. We also believe that demand for differentiated active investment strategies, including alternatives, will continue to grow and broaden. Looking forward, we think four growth opportunities are working in our favor: demand for differentiated credit income and yield-oriented strategies, the evolution of private markets and demand for alternative strategies; the underallocation of portfolios to China, the world’s second largest economy; and ongoing industry disruption. With new investment teams and strategies, we expect to capture these growth opportunities as we have done for 25 years. And we expect to marry revenues from new strategies with compounding revenue growth and existing strategies. In our view, compounding revenue growth over long time periods is more meaningful than net flows over short time periods. Compound revenue growth requires the management of strategies holistically, managing capacity, flows, time and duration, fees and economic alignment to stack the deck in our favor to compound assets and generate strong compound revenue growth over long periods. On an annualized basis, our revenue has compounded annually at approximately 10% over the last 10 years. Through new teams and strategies and steady compounding in existing strategies, we expect to continue to compound revenues and grow as we have in the past. Slide 2 illustrates our two growth levers. During the global period, we grew new strategies from $0 to more than $21 billion in AUM. Today, the strategies we launched during the global period, represents approximately $60 billion of our AUM. While we were building and growing our global business, our existing strategies continue to compound client capital and more than doubled in AUM. During the degrees of freedom period in the face of asset allocation headwinds, we added degrees of freedom and expanded our investment platform, growing new teams and strategies from $0 AUM to nearly $35 billion. During the same time period, the existing strategies continued to compound, generating approximately $60.7 billion in market returns and $13.4 billion in alpha, adding another $33 billion to our total AUM after returning $40.7 billion in net capital to clients. Slide 3 summarizes the opportunities I mentioned earlier. Four growth opportunities are driving our current outlook and new activity. We have discussed three of these on recent quarterly calls. We believe that investment talent and evolving asset allocation preferences favor more new strategies to support the growth of later stage private and China-focused strategies. We also believe that continued consolidation and changes in the industry create disruption and external talent opportunities for us. Finally, we believe that investment allocations for credit and yield continue to move in favor of active management. All four of these themes align well with who we are. They are not new, but each has cemented in the last few years. And it makes sense for us to invest more behind all four. In addition, because of investments we have made in our platform and capabilities over the last several years, we are now in a position to execute across all of these areas. There is no better example on how we are executing than our newest investment team, highlighted on Slide 4. Mike Cirami, Mike O’Brien and Sarah Orvin joined us in September to build a new investment team focused on emerging market credit and macro opportunities. This is a seasoned group with a long history together. Their opportunity set is broad in terms of countries, currencies, issuers and instruments. Current and forward-looking EM yields are attractive relative to alternatives. There is ample opportunity to generate alpha and differentiate from peers and the index. Demand from institutional and wealth channel investors, is large, growing and we believe durable as allocators are hungry for yield and increasingly globalizing their credit allocations. As we have always do in early innings, we are working with the team to bring together the people, resources and plan to maximize the probability of success. We expect to launch the team’s first strategy in the first half of next year. On Slide 5, we placed what the new team will be doing within a simplified view of the broader credit landscape. The new team’s first strategies will fall into the EM debt and non-traditional bond buckets. Concurrently, with establishing a new EM team, we have started the process of launching a new floating rate loan strategy for our credit team. Bryan Krug and his team have a successful history in the leveraged loan market and we expect to see strong demand for a dedicated loan fund. As with EM debt, the leverage loan space is a large and growing opportunity set, poorly tracked by indexes and offer ample opportunity for alpha and differentiation. By the middle of next year, we expect to have multiple differentiated credit and yield-oriented strategies managed by proven investment leaders and growing asset classes where investment talent can add significant value. Looking further into the future, the skill set of both our newest team and our credit team lend themselves to further expansion into additional credit markets, where we believe scale participants and inefficiencies create significant opportunity for high value-added investors. Moving to my last slide, the longest term trend and maybe the most powerful working in our favor is industry disruption. The investment industry is constantly being disrupted and disrupting itself at the individual firm level and more broadly. Artisan Partners has always taken advantage of disruption. We have always offered a unique combination of the investment autonomy and customization associated with owning one’s own firm and the resources and support offered by a big firm. That remains true today. We provide investment leaders with investment autonomy and unwavering commitment to high value-added active investing, customized resources and a broad and expanding investment platform, intentional business and franchise development with a history of repeated success, discipline on fees and capacity management, economic alignment and transparency and critically, patience in a long-term time horizon. Since our founding 25 years ago, the number and types of homes for investment talent have proliferated. And there are more options that look like Artisan, but we believe our value proposition remains unique. And there are a number of trends working to increase the supply of great investment talent. These include consolidation focused on scale and distribution, not investment excellence; the packaging of investment ideas and strategies into products that marginalize talent, water down investment excellence, and disintermediate clients from investors; ever more pressure on flows and fees at the expense of investment returns and value-added after-fee long-term outcomes; never shortening time horizons, making it increasingly difficult to execute a long-term investment strategy and maintain a quality of life. These trends should create more and higher-quality opportunities for us to partner with new talent in asset classes with long-term demand. We believe we are better positioned for future growth today than ever before. We expect our current strategy to continue compounding. We expect to continue to add strategies and talent in line with the trends and opportunities I have discussed. And we have a broad investment platform to leverage, and the wind is at our back. I expect us to continue to generate alpha for clients, expand opportunities for talent and grow revenue and returns for shareholders. We will do it in our way, consistent with who we are as an investment firm and over the long-term time horizons we target. I will now turn it over to C.J. to discuss our financial results.
C.J. Daley: Thanks, Eric. Our strong financial results this quarter and this year reflect the patience and discipline required to successfully execute on our financial model, which are detailed on Slide 7. A combination of compounding client assets in excess of benchmarks with existing investment teams and investing in new teams and strategies has led to strong growth in both the quarter and on a year-to-date basis when compared to prior year periods. Assets under management as of September 30, 2021, were $173.6 billion, up 29% from $134.3 billion a year ago. The strong growth in AUM is a result of our ability to compound client assets. When we refer to compounded assets, we are including the impact of market returns, alpha generation in excess of markets and net client cash flows. Our AUM compared to the second quarter of 2021 was down slightly as international market returns were modestly negative for the quarter. More specifically, in the first 9 months of the year, strong investment returns, including aggregate returns in excess of benchmarks, contributed $13.5 billion to AUM. Net client cash flows were $2.5 billion. As we expect, investment returns, which represent the largest component of compounded client assets, was a primary contributor to the increase in our AUM during the year. Average AUM was $177.6 billion for the quarter, up 4% compared to the June 2021 quarter and rose 36% compared to the September quarter of 2020. Year-to-date, average AUM was up 44% compared to the first 9 months of 2020. Assets under management by Generation on Page 9, our third generation strategies continued to achieve strong growth on a year-to-date basis with AUM up 23% since the beginning of the calendar year. And our first- and second-generation strategies continue to compound wealth for clients, both growing 7% in the first 9 months of the year. Growth over the much shorter quarterly time period was mixed as negative markets and flat net client cash flows drove a 1% decline in AUM. Financial results for the quarter and year-to-date periods are presented on the next two pages. Our complete GAAP and adjusted results are presented in our earnings release. My comments will focus on our adjusted results. Revenues grew 4% compared to the June 2021 quarter and 36% compared to the prior year quarter. Both period increases were due to higher average AUM. The weighted average management fee rate at 71 bps remained consistent across all three quarters. Adjusted operating expense also increased 4% compared to the June 2021 quarter and 28% compared to the prior year quarter. The increases in both periods were primarily the result of higher variable incentive compensation costs on increased revenue and an increase in the number of full-time employees, including members of our newest investment team. Our adjusted operating margin was 45.2% in the current quarter compared to 45.3% in the June 2021 quarter and improved meaningfully, up 340 basis points from the prior year’s third quarter margin of 41.8%. Adjusted net income per adjusted share was $1.33 in the current quarter. The financial results for the 9 months ended September 30 reflect the same themes as the quarterly results I just highlighted. Revenues in the 9-month period increased 43% compared to 2020 also due to an increase in average AUM. And given the variable design of our financial model, expenses rose 29%, reflecting higher incentive compensation. Our adjusted operating income rose 65% and our adjusted operating margin was 44.2%, up 590 basis points from the prior year-to-date margin. Our balance sheet continues to remain strong and support our capital management practices. We maintain approximately $100 million of excess cash to fund operations, seed new products and make continued investments in new teams, operational capabilities and technology. In addition, our $100 million line of credit remains undrawn. Our Board of Directors declared a quarterly dividend of $1.07 per share with respect to the September 2021 quarter, which represents approximately 80% of the cash generated. Next quarter, our Board will consider the declaration of a special dividend as well as our regular quarterly variable dividend. The amount of the special dividend varies year-to-year as the generation of cash fluctuates each year and the need for capital to run our business and seed new products may vary. Looking forward to next quarter’s results, our U.S. mutual funds make their required annual income and capital gains distributions in the fourth quarter. This year, as a result of very strong investment results over the past year, we estimate that assets managed for clients and our mutual fund vehicles have generated approximately $8 billion of net realized gain and income for our clients. Generating income gains for our clients is our primary purpose and by all accounts, represents the success of our firm. The majority of the income and gains required to be distributed to clients will be reinvested, but some clients choose to not reinvest generally to pay taxes and fund liabilities. This year, we anticipate that amount of income and capital gains distributions that will not be reinvested will be approximately $2 billion. This amount is broken out separately in our AUM roll forward. The last two slides highlight the financial impact of our thoughtful growth strategy. We are a growth firm, and over time, our results have consistently produced sustainable long-term growth. Over the global and degrees of freedom periods Eric discussed, revenues compounded annually at 11.1% and 7.4%, respectively. Over the combined periods, our firm has grown revenues at a compound annual growth rate of 9.3%. While it is hard to compare growth of operating income over the pre-IPO period with our public company history since 2013, our adjusted operating income has grown over 80%, and adjusted earnings per share have nearly doubled. If you combine the impressive growth we have experienced since going public in 2013 with distributions of cash dividends, which approximate 8% annualized yield over the same period, the total return to shareholders has been approximately 15% compounded annually. As a growth company, we are confident that if we remain disciplined in the management of our business and patient for the market to recognize our growth potential, we will remain an attractive investment for our shareholders. That concludes my comments, and we look forward to your questions. I will now turn the call back to the operator.
Operator: Thank you.  Our first question comes from Dan Fannon from Jefferies & Company. Please, go ahead.
Dan Fannon: Thanks. Wanted to talk about the private markets opportunity that you’ve highlighted on the – in terms of incremental growth going forward, can you talk about what strategies you have today that allow for that? And – or is it something we could see from a degrees of freedom going forward, something you will potentially open up for some of the funds that don’t provide that today?
Eric Colson: Hi, Dan, it’s Eric. We have one strategy, the China Post Venture that is currently investing in private companies. That launched last year – or this year. And then our growth teams or growth-oriented teams have been meeting with private companies, especially as you go down the market capitalization, over the last few years. And that has been picking up. And so on a go-forward basis, we will see many of our growth teams start to weave in private investing, either into existing strategies with regards to degrees of freedom or more of a hybrid strategy similar to the China Post Venture.
Dan Fannon: Got it. And then as a follow-up, just a general question on capacity. So first on Slide 5, where you kind of lay out the credit opportunity and the kind of road map for future products. Can you give us a sense of kind of how you think about capacity within certain of these areas you gave? Obviously, some of the market sizes, but the strategies, as you think about scaling them. Is it something where there is limits in the – in terms of certain size levels? And then at the broader firm level, are there other funds or strategies that you are watching or close to thinking about on the watch for potential capacity constraints?
Eric Colson: The size levels are always difficult to estimate. As we look at each of our franchise, they grow in different ways. And so in some cases, you may be limiting the size because you are leveraging that segment of the marketplace into broader strategies. So the high income strategy does use levered loans as part of its strategy. And as we think of future strategies that use degrees of freedom versus just purely dedicated strategies to that segment that has to come into the equation. So, we don’t have a set number. And I think if you look back in time, if we looked at our small cap strategy or our mid-cap strategy when we launched it, especially small cap, I mean back then, you invested below $1 billion in market cap, and you were really constrained to an asset size below $1 billion. And mid-cap was maybe $3 billion or $4 billion. And that same time, international probably was only a few billion as well. And you never know how markets evolves or how the franchise grows and where you are going to leverage the ideas and put those to work. But we do believe that these are sizable strategies that we are launching that they have a meaningful demand and they will be generating good growth for the firm for the next decade. With regards to capacity management, we have obviously, over the last couple of quarters announced that we were managing capacity. And our view on capacity management is you have to put an option in place to control a run-up in performance or a large flow coming in that could hurt the integrity of a strategy since the compounding of performance is the most important element to growing our revenue. And if you don’t have that in place before that growth occurs, then you can never catch up to controlling to help the integrity. So, we do have – we have no new announcements on strategies that we are managing capacity as this quarter. And the current ones that we are managing continue to grow at a nice rate, but in a controlled manner.
Dan Fannon: Understood. Thank you.
Operator: Our next question comes from Kenneth Lee from RBC Capital Markets. Please go ahead.
Kenneth Lee: Hi. Thanks for taking my question. Just one follow-up on the credit strategies, you talked about some expansion potentially within the credit side. Looking further out, how large could the credit AUM grow in the future for Artisan? And do you see credit strategies becoming a very material proportion of overall AUM over time? Thanks.
Eric Colson: Yes. If you combine the potential with the credit team with Bryan Krug and the new team we just brought on led by Mike Cirami, definitely the aggregate of those two could be very material coupled with potential teams in the future. And the breadth of each of these teams will have an element that is traditional as well as alternative. So, we are going to control our traditional sizing maybe a little bit lower than the big bucket scale players in this category so that we have room to manage the alternative high degree of freedom elements of these teams. The credit team is a very good example of managing the flow in high income so that allows us to have the flexibility to move a levered loan strategy into the market. As well as we have a credit opportunity strategy that gets us into an alternative credit space. So, we will manage the balance between traditional and alternatives. But on an aggregate basis, they will be very meaningful in our revenue. And the strategies that we are selecting in the credit space, like all of our strategies, are high value-added strategies. So, you could expect a higher return than what you see in a traditional shop, which obviously generates the higher compounded revenue growth that we have seen over the various time periods we listed on Slide 2.
Kenneth Lee: Great. Very helpful. And just one follow-up if I may, it sounds like from the prepared remarks, it’s a favorable environment right now for potentially adding new investment teams. Just wondering whether you could just share with us any expanded outlook for the potential to add new investment teams in the near-term? Thanks.
Eric Colson: Not only reinstate it is a favorable environment and we have outlined a few spaces that we are interested in, given the growth in asset allocation, the growth in the number of securities and opportunity to be high value added in the space and the talent that’s emerging around those categories.
Kenneth Lee: Got it. Very helpful. Thanks again.
Operator:  The next question comes from Robert Lee from KBW. Please go ahead.
Robert Lee: Great. Good afternoon or good morning the case maybe. Thanks for taking the questions. This – I have a question on really just kind of the – maybe some of the expense or spending headwinds that may be out there. So, I mean you have talked in the past about seeing even aside from adding new teams, maybe comp pressures. And we are seeing it kind of widely, I guess across more industries. But are you seeing that come into the numbers? How does that influence how maybe we should be thinking about some expense pressures into next year? And then by the same token, in addition to adding the new team, whether it’s coming out of COVID, travel picking up, maybe new technology or spending initiatives, just trying to get a sense of how we should think of maybe the progression of spend into 2022?
C.J. Daley: Great question, Rob. We are currently in our budget season. So, we don’t have anything fully baked yet. But certainly there is pressures on all of those. And we would expect our spending levels to increase next year as we execute on our growth strategy, including the on-boarding of the EM debt team. And specifically, our comp ratio is – has declined from 48% to 50% down to 45%, 46%. We would expect that to expand a couple of hundred basis points into next year as we continue to onboard individuals to build our infrastructure for our growing business. Tech spend is – as everybody has experienced continues to grow at high-single digits into low-double digits. And then on the occupancy side, we are planning to open a couple of new offices, one for the EM debt team next year and then expand in other areas as we continue to grow. So, I would expect low-double digit growth in expenses next year, but we are still sort of working through that in the budget process.
Robert Lee: Okay, great. And then in terms of investment spend, I mean a few years ago, I think you have spent some time and energy investing in the wealth channel. And we saw starting, I guess, last year this noticeable step-up in gross sales in that channel or at least the fund business. So, are there any kind of specific distribution initiatives that may be underway, whether it’s globally or other channels where you are currently investing or planning on investing where maybe in a year or 18 months or 2 years, you are kind of setting the seeds for maybe another kind of stair-step function, or just trying to get a sense on the distribution side where you are investing?
Eric Colson: Yes. We continued to invest in the wealth channel globally is the primary focus of new spend. And as you marry that with the newer strategies, that will be our focus of bringing these newer, higher degree of freedom strategies, tend to be a little bit more alternative-oriented into the wealth space. Think about the China Post Venture, the credit opportunity strategy and some of our newer strategies we are thinking about, we are investing at the margin in the wealth channel. And how that stair-step occurs, we can’t control the timing, but we control the quality of the talent, the type of strategies and our view on asset allocation. And our view is that credit and yield-oriented strategies are going to be in higher demand. We think that given the growth of China and looking at the index breakdown in asset allocation that many will realize they are under-allocated to a very growing segment of the world. And as more allocators look at private investing and how to create hybrid or crossover strategies to get exposure to hybrid and crossover strategies, we believe that private investing is going to become more meaningful. And with those areas of growth, we believe the wealth channel will be the greatest opportunity.
Robert Lee: Great. Thanks for taking my questions. I appreciate it.
Operator:  There are no more questions in the queue. This concludes our question-and-answer session as well as the conference. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.